Terje Pilskog: And a warm welcome to all of you attending our Fourth Quarter Presentation. Q4 was another strong quarter for Scatec, and I'm as excited as these guys to take you through the results. In Q4, we have continued to make good progress on our strategy. We have reached a number of important milestones and the financial results, as I've said, are very strong. As usual, I will start by going through these highlights before Hans Jakob will take you through the financials. And then towards the end, we will also open up for questions. But firstly, let me take you through a summary of 2023.It has been a year of significant progress in implementing our strategy, and I'm proud of the achievements of our teams globally. In the Power Production segment, our operating assets generated 3.6 terawatt-hours of clean energy and delivered an EBITDA of NOK 3.2 billion. This is including gains on sale of assets. This represents avoidance of 3.9 million tonnes of greenhouse gas emissions on a 100% basis. In the D&C segment, we generated all-time high D&C revenues of NOK 8.2 billion with a very strong average gross margin of 12% across the year. We crossed the finish line for Kenhardt and are close to completing Mendubim and Sukkur in Brazil and Pakistan. And once fully operational, these 3 projects will generate NOK 750 million EBITDA to Scatec in our Power Production segment. We also secured NOK 2.7 billion of new growth funding through selling noncore assets, capital recycling and platform funding based on new partnerships. We divested 4 solar plants in South Africa, Mozambique, Argentina and in Rwanda. And they have also established Release as a robust platform and raised in total NOK 202 million in debt and equity funding in 2 separate transactions, including IOC and Climate Fund Managers.  Finally, we have also secured a growth baseline going into 2024. This represents NOK 350 million in own equity investments and NOK 2.5 billion in contracted D&C revenues. And then I would like to give some reflections on the climate challenge and the market outlook for 2024 and onwards, starting then with COP 28. In terms of climate commitment, COP 28 delivered some positive results, amongst others, the establishment of loss and damages fund and 130 countries pledging to triple renewable energy capacity by 2030, I think this is a very important achievement, and a commitment to transition away from fossil fuels in the end statement of the conference. This is the first time in the history of COP that transitioning away from fossil fuels has been included. Despite these accomplishments, our work is far from complete. It is imperative that we continue to accelerate the momentum of the green shift with a particular emphasis on increased investments in green energy and especially also in emerging markets. Scaling up the deployment of clean energy in these markets is crucial to avoid further investments into fossil fuels and to unlock a multitude of economic security and energy access benefits. To achieve this, strategic policymaking, effective risk mitigation mechanisms and concessional finance are essential. COP also offers an opportunity for Scatec to advance our agenda and also advance our projects. Amongst others, we signed an agreement to develop a 1 gigawatt hybrid solar and battery storage project in Egypt. This is still in early phase, and we have not yet included it in our pipeline figures. We also met with IFC in relation to the establishment of a $100 million loan and $65 million guarantee facility that is being provided to Release. Then, let me also share some reflections on the industry development. The fundamentals for renewables continue to strengthen with significant price drops of both solar PV modules and batteries through 2023. As a matter of fact, solar PV module prices have decreased by 45% and energy storage systems by 24% last year alone. And both are now at all-time lows. The reductions are driven by significant scaling up of capacity, technology development and innovation. As supply of both solar module and battery input materials exceed estimated demand, we expect the prices to remain low also going forward. And this means renewables are more competitive than ever, and this is especially the case in our focus markets, that is in the emerging parts of the world. So let me then move to the fourth quarter, and I will start with the highlights. We delivered overall proportionate EBITDA of NOK 808 million. This is slightly up from same quarter last year. The D&C margin was 15%, ending a year with high activity and very strong performance in the D&C segment. We finalized construction of Kenhardt and started commercial operation in early December. This contributed NOK 40 million in EBITDA to the Power Production segment through the generation in December. And also with financial close in place, we started initial construction works for 273 megawatts solar in South Africa and 60 megawatts solar in Botswana. And we expect full notice to proceed for these projects to happen now in first quarter 2024.In addition, we were awarded our first battery storage project of 103 megawatts in South Africa. The project is also expected to reach financial close and start construction later this year.  And we continue to deliver on our strategy to divest noncore projects and we closed the sale of Mozambique, and we also signed agreements to sell Rwanda during the last quarter of the year. As said, Release raised funding from IFC to support their growth ambitions, and they have now secured more than $200 million in growth funding for this platform. And now in January, we have also agreed refinancing with our main banks of our $150 million green term loan, with $135 million still outstanding with a new maturity in the fourth quarter 2027. And also, as announced this morning, we are also contemplating a new 4-year senior unsecured bond issue with a partial buyback of our outstanding euro-denominated bond. Then, in terms of Power Production, here we generated 811 gigawatt hours of electricity in Q4. The generation volume was impacted by hydrology in the Philippines and the sales of Upington in Mozambique, while the start of Kenhardt contributed positively to the generation. Plant availability was close to 100%, and we had no lost time incidents.  We delivered an EBITDA of NOK 793 million in the quarter, in line with the same quarter last year. And in solar, the positive year-on-year increase in EBITDA was due to NOK 33 million increase in Ukraine. This is including a one-off insurance payment, NOK 40 million from Kenhardt and NOK 33 million from the sale of Mocuba. And then, in terms of the Philippines, net revenues were NOK 231 million compared to NOK 361 million last year, and EBITDA was NOK 179 million compared to NOK 307 million year-on-year. This effect is mainly driven by lower volume from weaker hydrology. And El Nino continues to negatively impact precipitation in the region and power generation was 161 gigawatt hours compared to 281 gigawatt hours in the same quarter last year. And also reduced spot prices, with average price reduced to PHP 5.5 per kilowatt hour from the unusually high prices that we experienced same quarter last year. The price level that we had in Q4 last year is still a good level if we look at it from a historical perspective. Then ancillary services revenues increased to NOK 102 million, reflecting a ramp-up in volumes under the new contracts awarded in the auction earlier last year. The price received is, however, in line with our previous contracts as the new price awarded under the auction is pending regulatory approval. This approval is expected to be received later this year with retroactive effect. Then, over to the D&C segment. We are close to completing our largest construction program ever in Scatec, and Q4 was another good quarter for the D&C segment. Revenues reached NOK 0.5 billion, as we are now in the final stages of construction of this program. We realized a gross margin of 15%, and this is evidence of the great work our teams are doing with the projects being delivered within schedule and within budget. I'm also proud to say that we have started commercial operation of Kenhardt in December. The hybrid solar and battery product is one of the world's first and largest of its kind. The project put Scatec in the forefront of combining solar and batteries, and we will gain valuable experience from this project in the months and the years to come, which we will be able to deploy into new projects in South Africa and into new markets.  At Mendubim in Brazil, final works are ongoing and commissioning activities are starting up. And then finally, the solar project in Pakistan is close to completion with final commissioning activities ongoing and commercial operational dates for all 3 plants are approaching quickly. And then looking forward, we have also reached financial close, and thus secured NOK 2 billion of contracted D&C revenues related to the Grootfontein solar project in South Africa and NOK 0.5 billion for the first phase in Botswana, which is 60 megawatts. Then, in terms of the development activities. We continue to deliver on our commitment to high grade our portfolio with focus on project location, maturity, time line and value creation. In Q4, we added attractive solar projects in core markets to our pipeline, increasing the backlog in pipeline to 12 gigawatts, up from 11.2 gigawatts the quarter before. This was mainly a project in South Africa to further position ourselves for the upcoming tender opportunities that will come in South Africa later this year.  During the quarter, we also reviewed the Tunisia portfolio in backlog, and we decided to discontinue development of 204 megawatts as we have not been able to improve project economics sufficiently for this specific project. This is underlining our commitment to investment discipline, and we will not move forward with projects that we are not convinced to be able to meet our hurdle rates. The remaining 120 megawatts in Tunisia, we will continue to be developed based on more favorable project economics. And as a result of this, the share of solar in our pipeline increased to 59%, and the share in our focus markets increased to 92%. And we continue to see attractive opportunities for solar, onshore wind and batteries in our focus markets. And as an example, again, I would also like here to mention the solar and battery storage development agreement we have signed in Egypt, not yet included in our pipeline figures. So with that, I will hand it over to Hans Jakob, and he'll be taking you through the financials.
Hans Jakob Hegge: Thank you, Terje. Good to be here. And now let me take you through the financials. We reported total proportionate revenues of NOK 1.7 billion in the quarter. Revenues from Power Production was NOK 1 billion, in line with the same quarter last year. The D&C revenues reached NOK 532 million in the quarter compared to NOK 627 million in the same quarter last year as the project under construction are in the final stages. The total EBITDA was NOK 808 million, an increase of 3% from the same quarter last year. Power Production EBITDA was NOK 793 million compared to NOK 821 million. And finally, the D&C segment delivered an EBITDA of NOK 7 million, reflecting a strong gross margin of 15% and reduced operating expenses.  If you look at the 2023 full year figures, it is quite an achievement to say that the D&C revenues reached an all-time high of NOK 8.2 billion compared to NOK 1.1 billion in 2022. This is the key driver for a total all-time high revenues of NOK 12.7 billion. The Power Production delivered revenues of NOK 4.1 billion compared to NOK 3.7 billion last year, and this was mainly explained by the sale of Upington, increased revenues from Ukraine and the foreign currency effects. Total proportionate EBITDA reached NOK 3.8 billion, a 51% increase from last year. The Power Production EBITDA was NOK 3.2 billion. And in the D&C segment, we delivered an EBITDA of NOK 672 million, a solid full year gross margin of 12% at the upper end our guided range of 10% to 12%.If you look at the consolidated financials, the total revenues was NOK 1.6 billion compared to NOK 993 million year-on-year. Revenues from Power sales increased by 17% to NOK 906 million, mainly driven by the contributions from Ukraine, including a $75 million insurance proceeds for the Rengy power plant.  We recorded a net accounting gain of NOK 532 million from the sale of Mocuba and Mozambique and the sale of a 32% share of Release. This led to a 96% increase in EBITDA to NOK 1.3 billion compared to NOK 689 million in the same quarter last year. Our consolidated earnings before interest and tax, EBIT, was NOK 1.1 billion and the net profit, NOK 724 million. The net profit was positively affected by a NOK 457 million tax benefit related to Kenhardt, which qualified for South African tax incentives for renewables after reaching commercial close. The full year 2023 consolidated financials clearly demonstrates a solid revenues increase of 26% to NOK 4.7 billion. This was mainly due to the gain from Upington, Mocuba and the Release transactions. We delivered a consolidated EBITDA of NOK 3.6 billion, an increase of 39%. And our EBIT was NOK 2.6 billion, with a net profit of NOK 1.1 billion. The total proportionate net interest-bearing debt increased by NOK 400 million to NOK 20.8 billion in the quarter. Our proportionate net interest-bearing debt consists of 2 different debt classes. We finance our power plants with non-recourse project debt, which is serviced solely by the cash flow from the individual power plant with no direct support from Scatec ASA. Additionally, we have debt on corporate level, which is serviced by distributions from the power plants. Our non-recourse debt was reduced by NOK 1.1 billion, mainly due to ordinary amortizations, divestments and positive FX effects. NOK 3.5 billion of project debt related to Kenhardt was reclassified to in operation after reaching commercial operations.  Our corporate debt increased by NOK 1.6 billion, mainly due to large investments, working capital movements and debt repayments. We had NOK 169 million of net interest expenses on our corporate debt, an increase of NOK 62 million year-on-year. And now in January of this year, we agreed the refinancing terms with DNB, Nordea and Swedbank, which are present today, of the $150 million green term loan. The green term loan will have maturity in the fourth quarter 2027.At the end of the quarter, we had NOK 2.15 million in available liquidity, including unused limit on our RCF. Now I'll take you through the main movements in the cash in the quarter. We received NOK 418 million in distributions from power plants. We had NOK 187 million in corporate costs, including corporate interest expenses. We had net working capital movements of NOK 1.1 billion, mainly related to Kenhardt. This reflects our working capital management throughout the construction period with a buildup of working capital in the early stages of construction and reversals at the end when the construction is being finalized. We invested NOK 659 million in growth projects, of which NOK 529 million were equity invested into the Kenhardt SPV due to an equity lost financing structure. We paid NOK 285 million, including accrued interest on the loan from PowerChina. And finally, we made a drawdown on our corporate revolving credit facility of NOK 713 million to manage internal cash movements.  And now, Terje will take you through the outlook.
Terje Pilskog: Thank you very much, Hans Jakob. So now in terms of the outlook for 2024. In Power Production, we estimate a proportionate Power Production for the full year of 4.2 terawatt hours to 4.6 terawatt hours within EBITDA in the range of NOK 3.4 billion to NOK 3.7 billion. These estimates reflect continued impact of El Nino during the first half of 2024, with an EBITDA in the Philippines of NOK 10 million to NOK 70 million in the first quarter. A normalization of production in the Philippines in the second half of 2024 and contribution from Kenhardt, Mendubim and Sukkur power plants coming online. In D&C, we have already achieved financial close for projects with D&C contract value of NOK 2.5 billion. And we continue to target 8% to 10% gross margins for new projects. We estimate corporate EBITDA of negative NOK 120 million to NOK 130 million based on cost discipline, reflecting the effects of the cost efficiency program implemented during the last year. And I look forward to another year of profitable growth and attractive renewable energy projects and investments for Scatec next -- this year. And just to emphasize, our strategy remains firm. We are committed to deliver on our 2 strategic pillars: grow renewables; and optimize our portfolio. We will grow based on our internal funding capacity. We will target NOK 500 million to NOK 750 million in annual equity investments. And we will grow renewables mainly in our core markets within solar, onshore wind and battery storage, and we will continue to focus on recycling through asset rotation and refinancing to add additional growth capacity going forward. Renewable energy is more competitive and attractive than ever. At Scatec, we are well positioned to take advantage of this opportunity.  Thank you very much, and we will now open for questions.
Operator: We will start with questions from the audience and then from online listeners. Just raise your hand.
Unidentified Analyst: 2 questions from my side. So maybe on the guidance range in terms of understanding a bit of the moving bits and pieces on the Philippines, if you expect a normalized output from the Philippines in H2, does that sort of square with the midpoint of the guidance range? And how much sort of negative buffer for Philippines is baked into the lower end of the guidance range? That's my first question.
Terje Pilskog: Hans, you want to try?
Hans Jakob Hegge: I can start and then you can fill me. So in the Philippines, we know there is an issue on the guiding versus analysts. And this is also due to the weather situation. So we have NOK 10 million to NOK 70 million for the first quarter EBITDA, [indiscernible] 800 to 900 gigawatt production guidance, and we expect the second half to catch up. When it comes to the midrange, I think it's clear by the interval we have provided.
Unidentified Analyst: And then also maybe a quick comment on the insurance payment you have in Ukraine. Can you just help me understand a bit of the dynamics behind that payment? And should we expect any similar insurance payments in '24?
Terje Pilskog: No. As we have communicated previously, we have had one small plant in Ukraine that has not been operational due to issues related to the war. And this is insurance payment related to that plant, and it is fully covering the damages that we had on that plant.
Unidentified Analyst: So it's actual damages on the plant, that's...
Terje Pilskog: Yes.
Unidentified Analyst: And then maybe a bit more high level in terms of the competitive landscape. It looks like things are starting to normalize in terms of input prices, bottlenecks, value chains, et cetera. How do you see your competitors behaving with sort of the underlying markets starting to resemble something that is what we saw before all these issues popped up? Have you seen people being more pragmatic in terms of which projects they bid on? Are people more or less aggressive, et cetera? Any change in the behavior on the competitive landscape?
Terje Pilskog: Well, first of all, I think I would say that this is -- on the component side, this is more than normalization. It is seeing component prices being at all-time low, even lower than what we see -- what we saw before the pandemic. And then, obviously, on the flip side, interest rates are still high in a historical level. So I mean, those are 2 elements that are impacting this. And in terms of the competition, I don't think we've yet seen any significant shift on the competitive side. But I mean, in terms of competition, all players are obviously using the latest up-to-date assumptions when they are in competitive situations when it comes to auctions or tenders. But then we also have other types of markets where you are either looking for opportunities to sell energy to other industrials or corporates that have another price point. And also where you are operating in markets like, for instance, in the Philippines, where there are a merchant market and merchant pricing, which is driven by other factors. So there, obviously, we have an opportunity to take advantage of the price drops.
Unidentified Analyst: Yes. Maybe a follow-up on that last point first, and seeing the drop in the PV CapEx. Will you -- and also seeing the 15% gross margin you posted this quarter, is that kind of an effect that not all costs have been locked in? Or is it mainly that kind of you had contingencies which -- being booked, or kind of how should we view that? And on the project, you're now starting Grootfontein at Botswana. Is there a possibility that kind of that 8% to 10% gross margin guidance is a bit kind of -- is there upside to that, so to say?
Terje Pilskog: Yes, in terms of the ability to take out additional gross margin now towards the end of the project, I think that is -- as you say, it's a combination of several effects. It is not one individual effect. It's obviously partly related to the good performance of our EPC teams and then we have to put together the projects. And obviously, when we start a project, we do have some contingencies in our budget. So, when we are not using those contingencies, we are able to take those out towards the end of the project. So that is obviously an upside. And then costs are coming down. There is also possibilities of taking out some benefits related to that through the construction program. And then, when it comes to the future projects, I think we will stick with our guidance. But, obviously, we will work hard to see if we can make the projects more attractive from an economic point of view.
Unidentified Analyst: That's good to hear. And then maybe you mentioned lastly -- on the last slide there, a bit on asset recycling and seeing today you're issuing a bond, partly paying down some of the euro-bond on -- at least that's the intention. Could you communicate a bit around kind of how that's developing the kind of asset recycling, maybe a bit of the larger assets? I mean, now you exited -- South Africa was obviously quite large, but some smaller assets where we -- should we expect to see any larger farm downs in 2024?
Terje Pilskog: Yes. I think, first, in terms of the refinancing, it is important to emphasize that even though we have refinanced and partly paid the -- intent to partly pay down the euro-bond, we are not intending to increase the debt levels of the company. So I just want to sort of emphasize that. And yes, in terms of our focus when it comes to capital recycling, we initially started this as an initiative more than 1 year ago to start to clean up our portfolio a bit and make sure that we are less fragmented. And now we have sort of done the first steps on that. And our focus will increasingly also move to other larger opportunities for recycling, both in noncore markets, but also, we will look for some opportunities in core markets.
Unidentified Analyst: I have one final, just very short question. On the ancillary services, which are -- where we are waiting for regulatory approval, can you tell us something about the magnitude of impact that could have retroactively and also in the future?
Terje Pilskog: Well, first of all, I'd like to say that there's a number of regulatory changes ongoing in the Philippines, and it's not a normal that the implementation of these ones are taking a bit of time and not being 100% predictable exactly when they are happening. So as such, this is not something that can be sort of completely surprising in terms of these things taking a bit more time than maybe we had also hoped for. In terms of the magnitude of the effect, I think what I can say in terms of Q4, the difference would have been in the range of NOK 40 million.
Unidentified Analyst: NOK 40 million?
Terje Pilskog: NOK 40 million.
Unidentified Analyst: Could I ask about the storage technology that you applied? And you showed this chart about price declining 25% or something year-on-year. Is that based on the same -- or base technology? And how do you view the future of storage? What are -- how do you bet on -- what technology do you bet on?
Terje Pilskog: So I think, the answer to your first question is, yes, it is the same basic technology. And also we -- sort of in our work, we've seen the same reductions as are being projected by these analysts only from the time when we bought the batteries for the Kenhardt project and up until now, when we bid for the project that we were awarded, that was about 12 to 15 months. This was a significant reduction in prices. Actually, we achieved more than 25% reduction in prices from -- through that period. So we do see these reduction in prices coming on the same existing technology. So that's very positive. And we are technology-agnostic. So, we don't bet on one technology or on another technology. We will, at any point in time, source the technology which is best adapted and has the best value for the projects that we are focusing on. And then, I think battery storage is going to play a very important role going forward, and that's why it's very good for us that we now have a lot of experience already in integrating PV and batteries. I mean, we have this project in South Africa. We are doing it in Release. We have installed and commissioned batteries also related to our hydro projects together with Aboitiz in the Philippines. And in order for the power sector to take on all the renewables that is required in the future, batteries will have to play a very important role. So this knowledge that we're now building is very crucial for us in the future.
Operator: Any further questions? Thomas [indiscernible] one.
Unidentified Analyst: Just one additional question, just kind of seeing the near line strategy with kind of taking smaller investments, which I, at least, appreciate. You spoke about asset rotation and kind of operational assets, but is it also a possibility to kind of farm down on ready to permit, ready to build and kind of -- you have a 12 gigawatt pipeline and seeing kind of some of the wind projects that have been there, et cetera. They have been large, massive for your balance sheet. But would it be possible to, say, bring them to that stage and then farm down, say, 95% and then just take a small equity stake in order to kind of do operations and manage EPC?
Terje Pilskog: That is also within our solution space. I think we prefer in our operating model to make sure that we have control over the projects through the execution phase so that we are not exposed to ending up in situations with other partners and other players. So I think this is an important part of sort of how we prefer to operate. But clearly, also selling down projects in the pipeline, putting them into platforms is part of what we can do going forward, and we will look for also that kind of opportunities. Also given that the investment pace that we will have over the next year or 2 as we have into our outlook, is lower than what we have had historically in terms of outlook.
Operator: Then we have a couple of questions from the web. On the D&C segment -- this is from Jorgen Lande, Danske Bank, by the way. In the D&C segment for 2024, with the remaining contract value in place of NOK 2.5 billion, we should expect the D&C loss of around NOK 50 million and NOK 100 million. Again, I assume that's related to our OpEx guidance. What are your comments to this? And based on new projects, should we expect any revenue contribution from these 2 impact, 2024?
Terje Pilskog: Well, first of all, I'd like to say that we are very happy with the fact that we have already secured NOK 2.5 billion in EPC contract values for 2024. And obviously, we will continue to work, and we also talked today about certain projects that we also think will get PPAs and reach financial close through the year so that we will be able to add to what we have already secured, but it gives us a good baseline already for 2024 in terms of the D&C segment. Then, as we also said before, the D&C segment will continue to be bulky. These are big projects, and they will not always come in a continuous flow. So there will be ups and downs. But clearly, we have an ambition on average over time to deliver also good results in the D&C segment. And in terms of these projects that we have talked about today, they will not reach COD in 2024. So they will not generate revenues in terms of Power Production segment, but we will start construction and they will deliver revenues in the D&C segment.
Operator: We have a couple of questions from [Naisheng Cui]. I think you have a similar one on the D&C, so we'll not go through that again. Do you expect more projects such as the ones in Tunisia and Egypt to move to under construction segment this year? The Tunisia capacity dropped by 240 megawatt. Is there a possibility to see other projects being dropped?
Terje Pilskog: Well, I think we will -- at any point, we will always evaluate our pipeline. And as we have said today, if projects are not meeting our hurdles, we will take them out of the pipeline, and that might happen for different reasons. So we cannot rule out that it will take more projects out of the pipeline through the year, but we also see good opportunities for adding more projects into backlog and there will be more projects into construction during the year than the NOK 2.5 billion in D&C revenues that we have already talked about, so in addition to Grootfontein and the 60 megawatt in Botswana.
Operator: And one more question from [Nash], kind of linked to this one. Could you please provide some more color on Egypt, please? Project progress and cash situation? I assume he is referring to Fertiglobe.
Terje Pilskog: Yes, in terms of Fertiglobe, Fertiglobe is a project where most of the development has been completed, but we have seen that there has been delays in the ability to secure long-term offtake contracts for green ammonia in the market globally. So we are continuing to work with that and we have good opportunities with that project, and we qualified for instance, for H2 global tender in Germany among in total, I think, 4 projects that were shortlisted in that tender, and they have now participated in that tender. I’d also like to mention that Fertiglobe delivered its first commercial shipment of green ammonia late last year based on the pilot project that we have already talked about. So we have shown that we are able to deliver product from that project. In terms of the cash situation in Egypt, I'm not 100% certain what he's referring to, but we are in good shape on urban land projects. We are receiving cash. We've been able to convert it into dollars and we are paying down on the debt according to the agreements with the banks.
Operator: One question from Eivind Garvik, Carnegie. How should we think about your cash position for 2024? What about working capital movements for 2024?
Hans Jakob Hegge: First of all, the current situation is also impacted by the high construction activity, as I explained, the payment of the NOK 285 million to the PowerChina, the equity injection in Kenhardt and reversal of the working capital of around NOK 1 billion. Going forward, there is still some equity injections in the order of NOK 300 million to come. But we are, I would say, overall, comfortable with available cash. And we are also, as you have noticed, using the RCF to balance and manage cash over time, so.
Terje Pilskog: And then in terms of 2024, I'd just like to add that, obviously, through 2023, we've had a massive investment program. We have added 40% capacity relative to what we had before the year. And all of those projects are now coming into operation, and they will start producing EBITDA and producing cash going forward. So that is obviously increasing the cash generation in the company going forward.
Operator: One question from Richard Alderman. Can you explain D&C margin guidance and reasons for reverse you've been through it a bit? 8% to 10% D&C gross margin for 2024 compares to 10% to 12% for 2023 and 15% at Q4. Is that because some of the Q4 beat is timing of payments to complete projects, so Q1 comes down again?
Terje Pilskog: First of all, the 15% in Q4, as we explained, is related to coming towards the end of the construction programs and that some of the contingencies are being -- we are being able to release some of the contingencies that we have in the budget. And therefore, towards the end, the gross margin is coming up, and that is a result of the good work that has been done by our EPC team through the construction phase.And then in terms of the 8% to 10% guidance, that's the general guidance on what we think is a hurdle rate that we should see in new projects when we are in competitive situations. So this is our hurdle rate, and this is what we are seeking in all new projects going forward.
Operator: And one last one, Magnus Solheim from Fearnley. Considering the 45% year-over-year decrease in CapEx -- I guess he's referring to the solar panels -- do you anticipate improved profitability in upcoming projects? Or are you experiencing renewed pressure on PPAs? Also, which markets are you currently most optimistic about?
Terje Pilskog: Yes. I think in terms of the -- I think I partly answered that question with prices coming down. Obviously, in some situations, we will be able to use that to try to improve the economics of the project. But in general, for future auctions and future tenders, we as well as all our competitors will obviously use the best information we have in terms of the market when it comes to pricing the projects in that kind of situations.  And then in terms of the future, I think we have already communicated where we see projects starting up. We have significant opportunities now starting up in South Africa, in Botswana, and we are positioning ourselves also for future and the opportunities in South Africa. There are a couple of new tender opportunities now in the first half, both on traditional renewables as well as on battery storage, and I think we are well positioned to participate there.
Operator: There's actually one more that came in just now from Magnus as well. How is Release and the Cameroon project developing? How do you see the outlook for Release going forward?
Terje Pilskog: Well, in terms of Release, we have now completed the first two projects in Cameroon. They are up and running and generating good revenues, and we are seeing positive EBITDA in Release. And then, with the fact that we now have gotten Climate Fund [Call Ends Abruptly]